Operator: Good morning and welcome to the Agenus Fourth Quarter and Yearend 2016 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator instructions] Please note this event is being recorded. I would now like to turn the conference over Michelle Linn. Please go ahead.
Michelle Linn: Thank you. Welcome to the Agenus fourth quarter and yearend 2016 conference call. Before I continue, I would like to remind you that this conference call will contain forward-looking statements, including statements regarding the company’s potential income stream, research and development, and clinical trial activities, the publication of data and potential application of the company’s technologies, and product candidates toward the prevention and treatment of diseases. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. Reference to these risks and uncertainties is made in today’s press release and they are disclosed in more detail in our most recent filings with the U.S. Securities and Exchange Commission. These statements speak only as of the date of this call and Agenus undertakes no obligation to update or revise these statements. All forward-looking statements are expressly qualified in their entirety by this cautionary statement. When evaluating Agenus’ business and securities, investors should give careful consideration to these risks and uncertainties. As a reminder, this call is being recorded for audio broadcast. With me today is Dr. Garo Armen, Chairman and Chief Executive Officer, Dr. Jennifer Buell, Vice President, Research and Development Operations, Dr. Jean-Marie Cuillerot, our Chief Medical Officer and Christine Klaskin, Vice President, Finance. During this call, Garo will provide a corporate update, Jean will provide an R&D and manufacturing update, Jean-Marie will talk about our clinical plans and deliver both and Christine will provide a financial overview. We will then open up the call for questions. With that, let me turn the call over to Garo.
Garo Armen: Thank you, Michelle, and thank you all for being with us this morning. 2016 was a productive year for Agenus. Last year four different antibody programs entered clinical stage development. These include our partnered antibody GITR and OX40 as well as CTLA-4 and PD-1. We consider the latter two clinical for us to achieve commercial status in the next four years. We believe that both of our molecules CLTA-4 and PT-1 will be critical to our ability to build a differentiated portfolio of combinations, while we're also leveraging our CLTA-4 and PT-1 candidate as a backbone of future immune-oncology combinations with our own novel portfolio of immune-oncology agents. During 2016, we also streamlined our in-house product development and commercialization capabilities with an emphasis on quality, speed and cost and which we believe by the way will be hallmarks for future success. In this regard, we put into place our manufacturing and cell line development capabilities through acquisitions and in licensing. We added our anybody discovery engine by building and in-house page display capability in addition to our mammalian and display platforms. This provides us with the ability to develop best-in-class compounds. We’ve also optimized our structural, engineering and computational sciences capabilities. We reinforced our management and clinical teams with Chief Medical Officer, Jean-Marie Cuillerot. Jean-Marie is one of very few in oncology clinical experts having successfully developed tow immune-oncology antibodies Yervoy and Avelumab. Jean-Marie will provide additional details on our clinical development strategy during this call. In addition to these achievements, we advanced several novel targets in our portfolio, including our antibodies targeting 41BB, TIGIT and by specific antibody candidates. You will hear more about our progress in this regard as the year unfold. We expect these to enable long-term competitiveness and ensure leadership of our company in the field of immune-oncology. Our [indiscernible] neoantigen vaccine candidate is slated to enter the clinic in the coming months. Recently, we announced an NCI sponsored Phase 2 clinical trial or top agent combination with Maersk key product. We also streamed our alliance with Incyte in addition to GSK shingles vaccine containing QS-21 Stimulon was filed for regulatory approval in the U.S., Canada and Europe. I would like to say a few words about our restructured alliance with Incyte. As you know, our coloration agreement with Incyte was conceived in January 2015 and initially centered around four immune checkpoint targets, GITR, OX40, TIM-3 and LAG-3. Last month, we emended the terms of this agreement. We believe the emended terms are mutually beneficial and streamline our relationship with Incyte. Among other things, we converted GITR and OX40 clinical stage programs from 50-50 profit share who have flat 15% royalty rate payable to Agenus plus milestone payments. Importantly, this removed the financial burden of clinical development cost from us for these assets enabling us to focus our expenditures on our internal programs. These costs that were now refills would have escalated significantly in coming years as GITR and OX40 advancing the clinic. With regards to financial terms of the recent transaction, Agenus received $60 million in equity at a premium price of $6 per share and $20 million in accelerated milestone payments from Incyte. With this transaction, having strengthened our balance sheet and reduced our burn rate, we will prioritize for them that will get us to registration over the next several years and bring our novel differentiated antibodies and vaccines to the clinic. Dr. Jenn Buell will provide some details on why we believe these novel targets and vaccines that we're pursuing are compelling, particularly given our ability to advance these compounds in combinations. So far what we're seeing in the clinic and what scientific observation strongly suggest is that combinations will drive the future success of immune-oncology. Overall, as I indicated earlier, our focus is to register our antibodies to validated targets CTLA4 and PD1 as soon as possible and to advance our novel and differentiated immune-oncology leads to the clinic. We will provide an update on our progress during 2017. While we started the year with the restructuring of Incyte transaction, which brought $80 million into Agenus and reduced our burn rate, completing additional corporate transaction with an emphasis on improving our balance sheet and further reducing our burn rate is a priority for us. With that, I'd like to introduce Jenn Buell, who will talk about the progress we've made with our preclinical programs. Dr. Buell?
Jennifer Buell: Thank you very much Garo. I'm delighted to have the opportunity to review the progress and key developments of our preclinical and discovery programs. Let me start off with some of the data we are gearing up to present at AACR. Earlier this week, we announced that four abstracts involving antibodies and vaccines discovered by Agenus or accepted for poster presentation at AACR, we're thrilled as the opportunity to share some preclinical finding on our checkpoint modulator programs as well as our vaccine candidates. We plan to present evidence that our clinical stage CTLA4 antagonist that’s agent 1884 combined effectively with our clinic-ready PD1 antagonist antibody that agent 2034 as well as other antibodies targeting the PDL1 access to promote superior T-cell immune responses compared to either agent at the monotherapy. We will demonstrate evidence of a synergistic pharmacodynamic effect in primate models when our CTLA4 and PD1 antagonist are code administered. Consistent with our previously reported data presented at AACR last year where we showed that our CTLA 4 candidate agent 1884 augments vaccine responses in primase, this year we're going to also present evidence that a surrogate CTLA4 targeted antibody bolsters vaccine-induced immune responses when combined with our AutoSynVax vaccine candidate in preclinical models. These observations further solidify our differentiated clinical development plans which include combination strategies involving immune education approaches, concurrent with checkpoint blockade. Jean-Marie with extend on our clinical development plans shortly. Additionally, at AACR, we will present new data on preclinical advancements related to our NEO antigen vaccine candidate AutoSynVax as well as our autologous vaccine candidate Prophage. We aim to demonstrate how each protein-driven presentation of synthetic tumor neoepitopes with predicted immunogenicity in the case of ASV and autologous tumor-derived proteins in the case of Prophage evoke an anti-tumor immune response as well as long-lasting immune memory responses in new remodels of cancer. Lastly, our posters on GITR and OX40 molecules partnered with Incyte will highlight some key pharmacologic properties of these Agenus antibodies and their mode of action. Now I'd like to introduce previously undisclosed assets in our portfolio that represents highly innovative next generation targets that Garo briefly mentioned in his introduction. The first one of these is 41BB is also known as CD137. 41BB is a co-stimulatory immune checkpoint, expressed primarily on activated CD8 T-cells as well as in cells of the immune system such as natural killer cells. We have completed a full discovery campaigns and selected a least agonistic antibodies that targets 41BB and exhibits compelling pharmacologic properties that may confer best-in-class therapeutic potential. This candidate is advancing through IND-enabling studies. I'll take a moment just to highlight a few features of this therapeutic approach. Interaction of 41BB versus ligand enhances T-Cell as well as anti-cell function, promotes homing of these cells to the tumor microenvironment and generates immune memory. We believe this will serve as a promising modality for a combination therapy particularly when combined with our CTLA 4 and PD1 antagonist as well as other assets in our portfolio such as our vaccines. I'd like to reiterate that our 41BB agonist like our CTLA4 and PD1 antagonist is proprietary to Agenus. Another promising target that we're working on is TIGIT. TIGIT is co-inhibitory receptor, is expressed on a factor memory and regulatory T-cells and natural killer cell populations. The ligand for this receptor called PDR or CD155 is highly expressed on many tumors and correlates with the four prognosis. We continue to get stimulatory signals in PE and natural killer cells and its function is independent of the PD1 PDL1 pathway but also potentially complementary. Accordingly, our preclinical models indicate that antibody mediated TIGIT blockade not only serves to stimulate T-cell activation and MK cell cytotoxic activity but also synergizes with PD1 PDL1 blockade to promote anti-tumor immunity. We are on track to rapidly move these molecules into the clinic. In addition to the Incyte amendment that Garo spoke about earlier, we also recently formalized a collaboration with UCB. The collaboration leverages the antibody engineering capabilities that both UBC and Agenus in an area of novel bispecific antibody discovery. We envision 41BB TIGIT as well as bispecific antibody candidates to be promising component of the next generation of combination immune therapies wherein our PD1 and our CTLA 4 antagonist would serve as a foundational backbone. And finally, before I hand it over to Jean-Marie, I'd like to provide a brief update on our manufacturing preparedness. In 2016 we made significant investment to expand our Agenus West GMP manufacturing facility in Berkley California, to ensure that we are able to sustain and fuel our pre-commercial efforts in the clinic. We're very pleased with the progress on this front and we're also in discussions with multiple contract manufacturing organizations in preparation for commercial readiness in the next four years. On that note, John-Marie will discuss our clinical development plans and our near-term readouts and deliverables.
Jean-Marie Cuillerot: Thank you, Garo. Thank you, Jenn and good morning to all. As Garo mentioned in 2016, we launched a number of our antibody candidates into clinical development and advance additional programs including anti-PD1 anti-CTLA that we are approaching the clinic. Our CTLA front agonist 34 is in the middle of discussion study with no safety concern noted so far. Right now, we have preliminary data that looks to be on par with that of a commercially available counterpart. Our PD-1 antibody 2034 is expected to enter the clinic in the coming weeks with the goal of data mining and safety and optimal dose as a monotherapy. We also planned to initiate a Phase 1b study with two agents in combination in the second half of 2017. Our clinical development plan is designed to maximize the value of our most transfer clinical assets of that CTLA-4 and PD-1. We want to address the company overarching goal to be a commercial organization within the next four years. To achieve that, we run to balance low and high risk initiatives and in which the new paradigm of comfort standardized for finding. With regard to investments with the lower regulatory and technical risk, where we find a development path for both CTLA-4 and PD-1 in cervical cancer. In parallel, we’ve been initiating the development of our anti PD-1 and anti CTLA-4 where the clinical activity of these two agents in combination has been established. Our version for pursuing cervical cancer is based on this update from the clinical, regulatory and commercial standards. Overall, we believe that our strategy of targeting PD-1 alone or in combination with cervical cancer as a strong business for demonstrating efficacy. The strategy provides the property to validate PD-1 enrollment of our PD-1 facility for plants and also as well above to a nutrition in the next four years. Importantly, a number of clinical deliverables are expected in 2017. For PD-1 monotherapy cervical cancer, we expect to begin recruiting patients by the second half of this year with clinical activity by the end of 2017. We also plan to push PD-1 monotherapy by every opportunities with the intimate goal of launching a pivotal trial for PD-1 in combination with CTLA-4 in the first half of 2018. One PD-1 CTLA-4 at the core of our near term clinical plans, clinical implementation of this asset is just a stepping stone to a border more vision which includes number one, pursuit of optimal antibody and vaccine communication with CTLA-4 and PD-1 as a backbone and number two, the advancement of our antibody programs against innovative targets which are 4-1BB and TIGIT what is alone or in combination with other products in the pipeline. With that in mind, I’d like to provide an update on the progress I have made so far with intensive vaccine candidates. Early this year, we announced the launch of a third part sponsor randomized double blind control with the aim to evaluate the efficacy of Merck’s PD-1 antagonist tralokinumab alone or in combination with our vaccine candidate Prophage in patients who are diagnosed with glioblastoma. This is still an indication in which patients previously exhibit improved survival in response to Prophage as reported at ASCO in 2015. The trial will assist the overall survival of glioblastoma and is being produced by the brain tumor trial collaborative, which is governed by center-focused results at the National Cancer Institute. With regards to our neoantigensvaccine platform, we expect that our individualized auto vaccine candidate will enter the clinic in the first half of this year. By the end of 2017, we anticipate preliminary results of immune response again the patient specific types that constitute the vaccine. It's important to mention that the mutation of AutoSynVax accompanied by QS-21 stimulon approved adjuvant for ischemic recently filed for approval in U.S., Canada and EU as part of its vaccine population including as Garo pointed out, we have gaining momentum in the clinic and with our product set that we see into it. While we have work for us, that was permanent CTLA-4, PD-1 and neo native IBB TIGIT vaccine with full regulatory and commercial potential. With that I’ll turn it over to Christine to talk about our financials.
Christine Klaskin: Thank you, Jean-Marie. Our cash, cash equivalents and short-term investments were $76.4 million as of December 31, 2016. Subsequent to the end of the year, Agenus received $80 million in cash as part of the emended partnership and stock purchase agreement with Incyte. As a result, we now have more than $150 million in cash on a pro-forma basis. The increased cash combined with substantially reduced clinical development expense obligations under the prior Incyte agreement will significantly reduce our cash burn and extend our cash run rate through the second quarter of 2018. For the fourth quarter, Agenus reported a net loss of $26.1 million or $0.30 per share compared with a net loss for the fourth quarter of 2015 of $15.6 million or $0.18 per share. The company’s cash burn for the fourth quarter was approximately $19 million compared to approximately $27.9 million during the third quarter of this year. The increased net loss for the quarter ended December 31, 2016 compared to the same period in 2015 was primarily due to the expansion and growth of the research activity with the company partially offset by non-cash income for the quarter ended December 31, 2016 of $9.4 million due to the fair value adjustment of the contingent purchase price considerations. This compares to $623,000 for the same period in 2015. In addition, during the quarter ended December 31, 2015, we recorded a $5.4 million income tax benefit recognized as a result of our 2015 acquisition. For the year-ended 2016, the company incurred a net loss of $127 million or $1.46 per share. This compares to a net loss of $88 million or $1.13 per share in the same period of 2015. This increased net loss for the year-ended December 31, 2016, compared to the net loss for the same period in 2015 was primarily due to the company's growth and the advancement of our programs as well as increased interest expense on our long-term debt, partially offset by the decreased non-cash expense for the fair value of adjustments of our contingent obligations. I now invite Garo to make any closing statements.
Garo Armen: Thank you, Christine. As you’ve heard on a number of occasions on this call our priority going forward are the following. Advancing our CTLA-4 and PD-1 programs towards registration in a speedy fashion. We are the second company in the field behind Bristol-Myers who have both compounds in clinical stage development. Second, to proceed to the clinic rapidly with our novel preclinical compounds targeting for 41BB, TIGIT and bispecific candidate. Third, to advanced our novel vaccines in combination with other immune-therapy agents, including our own checkpoint molecules. Four, to enter into additional partnerships to strengthen our balance sheet and to further reduce our burn rate. And fifth, continue to collaborate with Incyte and Merck to ensure the success of our partner programs in which we have a substantial financial stake. With that, I would like to thank you for joining us on this call. We hope that you found this update informative and we look forward to providing you with additional updates. I’ll now turn the call back to Michelle.
Michelle Linn: Thank you, Garo. Operator, you can now open the call for questions.
Operator: We'll now begin the question-and-answer session. [Operator Instructions] Our first question comes from Mike King with JMP Securities. Please go ahead.
Mike King: Hey guys. Good morning. Thanks for taking my question. Lots of ways we could here, let me just start by asking maybe a high level strategic question maybe for Garo and Jean-Marie to opine on I think everybody recognizes that the IO field is highly competitive. We applaud you for being able to put yourselves in a position where you guys can do your own combinations, but I wonder still you've got larger companies with lots of resources that you're competing against and I just wonder if there is a clinical development strategy that you guys can employ that will get you to combinations faster whether that's checkpoint in [indiscernible] AutoSynVax and checkpoints. How should we think about the future clinical development strategy of Agenus to maximize the breadth and the depth of the portfolio?
Garo Armen: Let me start with a big picture comment and then I'll let Jean-Marie to address the specifics. But as you know Mike, our strategy is to go with validated target antibodies or the antibodies to validate a target specifically CTLA 4 and PD1. And we are in an enviable position in that regard because we're the second company as I mentioned behind BMS to be in the clinic with both of these assets. That coupled with the fact that Jean-Marie has had a fantastic track record of taking a compound from first men to file in his previous position, we feel strongly that there are pockets of opportunities in the field particularly given the fact that not many out there beyond BMS and us have bulk of these assets at end to the clinical trial which we think we can get there and I'll let Jean-Marie to address some of these things in more detail. However also note that our strategy is to earn our stripes with low risk programs to commercialization first, while as we also pursue some of the novel compounds so that we don't lose any momentum with those. But I should point out that obviously, the task rotating some into registration is more expensive. However, if we go back within a very targeted factor, we can reduce those costs which is what our intent is and to advance the earlier program which is much less expensive. So, we can do this in a very balanced financial strategy fashion whereby we won't be able to -- really won't be sacrificing our ability to get be a commercial stage company while also advancing some of the lesser expensive programs in the pipeline. But Jean-Marie, if you can give us some color on your strategy of what to pursue in the low risk combination so that we can get to the finish line in a reasonable period of time.
Jean-Marie Cuillerot: Absolutely. There is still plenty of opportunities with PD1 and CTLA-4 combination and cervical cancer is the first in the list on it. As Garo said, CTLA-4 is very unique tool and that we can deploy in multiple fashions. I do review that as we probably seeing that there should be considered activity. But I would like to comment on what is perceived from clinical efforts to that. We have two compounds and one compound activity development Phase 1 two that are on the couple of weeks maximum to enter to the clinic. And there will be one thing fair while we're going to generate the data that will really enable us to leverage that portfolio and to combine these dual with each other. We are couple of months of being able to do that. but once we have the capacity to use -- to have -- the opportunity to use our assets with the daily dose PK and PD, you will see this combination arising. And as we explained in the call we're going to start the commission CTLA-4 PD-1 by the end of this year. Checkpoints we're are going to be H2 '17, we’re getting there.
Garo Armen: Thank you. Mike does that address your...
Mike King: Yes, that’s helpful. And then just briefly and I will jump back in the queue. I was just wondering I’m not sure if we’ve had this discussion on an open call like this, but I don’t know if there is any opportunity that kind of compare and contrast AutoSynVax with some of the new antigen approaches that are being taken by companies like Neon and Gritstone. Thank you.
Garo Armen: So, I will make a few brief comments on this and perhaps Bob you would like to also contribute and this because you know lot more that the average on this subject. So, we have certain assets in our formulation that are unique to us. One of them is protein assets which have to be vector and second one is QS21 which is a very powerful adjuvant that enables things going forward but Bob if you could kindly address this question for Mike.
Robert Stein: Sure, thanks Garo. Hi Mike. So AutoSynVax has a very nice set of properties. As you know, it builds off the nice use of heat shock proteins to deliver antigens to antigen presenting cells, incorporates our QS21, which markedly enhances Class 1 cross presentation and we've preclinically that stimulates central memory formation. And in addition it's a format, which is also suitable for phosphopeptides, which we’ve seen are both neoantigens and can be shared across patients and so in that sense those are things that the nucleic acid based vaccines strategies for neoantigens can’t generate immunity against because they can’t produce correlated form of the antigen. So we have very strong belief that AutoSynVax and its very closely related products PhosphoSynVax have discrete advantages that will play out in there clinical benefit.
Mike King: Great. Thanks for taking the questions.
Operator: Our next question comes from Biren Amin with Jefferies. Please go ahead.
Biren Amin: Yes, just a question on the 2034 program, are you planning to do dose escalation, try to get maximum tolerated dose where you start the combination trials or the cervical cancer trial later this year? Is that a gating item to starting those studies?
Robert Stein: It is very less character of [TIGIT and we know that PD-1], what we know from the dose response scale of the anti PD-1 for both [indiscernible] that is very flat dose response curve and when you are to meet the strategies and you don't get and you don’t get anything to go further [indiscernible]. So, our plan for 2034 is to not escalate the dose forever because you might be trading the ground that a patient can absorb, we have proven in this case end use biomarker occupancy plus the care to ensure that if we have enough present right before the next to ensure adequate saturation of PD-1.
Garo Armen: Biren, if I can ask them to be on mute while they're not speaking or asking question, we hear background sorry about that.
Robert Stein: To pursue on myself it can give us very short PD-1 and then by that time we have enough safety data to combine the two together and because of the proximity of PD-1 to the commercially available clinical path we have the path forward to notify the dose again for equity in each markets. Does it address your question?
Biren Amin: Yes, and just a question on the cervical cancer PD-1 study, are you -- look at some sort of cut-off on PD-1 expression into that trial?
Garo Armen: Absolutely we're going to look on that expression. We had data with some recognition 5% data that suggest that approximately 60% of the cervical cancer both squamous and non-squamous expressing PD-1 and we do hope to see better activity in that subset. But for cervical cancer, I would say the way we're going to target better results is not so much by looking to patients with high at least some PD-1 expression it is really by combing the PD-1 and CTLA-4 in population in more population.
Biren Amin: Okay. And then just on the milestones where you are expecting to engage and is there some strategic transactions how should we be thinking about that in terms of priority if CTLA-4 so priority from the past you clearly had a backup compound for that target, is that something that you would potentially evaluate partnering or are some of the other targets the higher priority that Jennifer mentioned on the call today?
Garo Armen: So, the strategy is several fold. Obviously, some of the enabling compounds can be considered for partnering in a non-exclusive or co-exclusive fashion and we have had some discussions regarding those topics. Secondly geographic separation is something that we're highly interested in and companies out there who have expressed an interest for pursuing geographies outside of the U.S. as well as some of the novel compounds are obviously exclusive candidates for RNA and so we are looking at all of those options and currently have a number of, substantial number of active discussions ongoing actively.
Biren Amin: Okay. Great. Thank you.
Operator: Our next question comes from Matt Philips with William Blair. Please go ahead.
Matt Philips: Hi thanks for taking my question on for [John] and I was hoping to get your opinions on kind of the 41BB biology. We have seen very preliminary results so far with antibodies from Pfizer and Bristol and with Pfizer being an IDD-2 backbone your Bristol and IDD-4. Do you think the SD receptor is playing a role in this pathway?
Garo Armen: Bob, if I can ask you to address that question.
Robert Stein: Sure, thank you. I think it's a good question. There is both the FC differences between the Pfizer and BMS 41BB antibodies and also the Pfizer antibody strongly blocks the interaction with the ligand. The Bristol compound has shown some efficacy, but it's also fairly hepatotoxic and the dose has to be dialled back. The Pfizer compound is now showing some signs of potential efficacy on top of PD-1 blockade. We think that the FC interactions are very important, but interestingly with our first 41BB candidate, we have novel pharmacology that we think has the opportunity to combine some of the attractive features of the other two in stir some of the side effect and we are very excited about what we consider a novel type.
Matt Philips: Good, thanks Bob.
Operator: [Operator Instructions] Our next question comes from [indiscernible]. Please go ahead.
Swayampakula Ramakanth: Thank you, this is RK from H.C. Wainwright. A couple of quick questions. To start off I'm just trying to understand, I know there was some data which was presented at the recent AACR, the differences between AGN 1884 and 2041 and when should we expect 2041 to get into the clinics?
Robert Stein: Well for this time being we are pursuing actively 1884, 2041 is a compound that we must see as very similar clinical activity which start potentially as different biology. We have multi initiative for 2041, however we have the capacity now to look at that very quickly if we have to.
Swayampakula Ramakanth: Okay. Thank you. Then maybe you did say something on the UCB transaction or collaboration initiation and I didn’t get it from what Jenn said this morning it looks like it's going to be around the bispecific antibody discovery. But could you kindly tell us a little bit more about what the strategy is there -- is in this collaboration both financial and development and who is responsible for what and is there any discussion about how the distribution of commercial rights is going to happen and coming out of this collaboration?
Garo Armen: Firstly, we have not disclosed much data and we will not talk about this collaboration. It's confidential for competitive reasons, it's confidential. The financial implications of this transaction are minor, so we're not going to really make a dent on anything so to speak, but Jenn if you would like to just very briefly top line say a few words.
Jennifer Buell: Certainly, thanks Garo. So, through the UCB coloration, we will as I've mentioned we're going to leverage on both companies antibody engineering capabilities. We will also be able to capitalize upon Agenus' functional biology capabilities and capacity here in which we can take very specific targets of interest across the portfolios and interrogate the biology functionally for immune modulatory benefits whether it's immune-oncology or split pharmacology, but other than that, we haven’t disclosed further details about the collaboration.
Swayampakula Ramakanth: Okay. Thank you. One last question Jean-Marie talked about initiating registration study with CTLA-4 and PD-1 in the first half of '18, can you give us a little bit more color about what indications you would be looking at and what's the management confidence about this compared to what we have seen in the clinic or in the market from other sponsors?
Garo Armen: As I mentioned, we are playing to have cervical cancer as the first indication and this is where the first study will take place.
Swayampakula Ramakanth: Okay. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Michelle Linn for any closing remarks.
Michelle Linn: Thank you, operator. I would like to remind listeners that a replay of this call will be accessible from the company’s website at www.agenusbio.com. On behalf of the Management Team at Agenus, I’d like to thank everyone for joining us on today's call. I will be available to receive any further inquiries this afternoon. With that, operator, please conclude the call.
Operator: This conference has now concluded. Thank you for attending today's presentation. You may now disconnect.